Operator: Good morning, ladies and gentlemen. Welcome, the press conference and the results conference devoted to presenting the KGHM Polska Miedz S.A. for the Third Quarter of 2024. So, we are here accompanied by the representatives of the Board, KGHM Polska Miedz Iga Dorota Lis, Deputy President of the Board for the Assets Management; Deputy of the Board for the Development; and Deputy the Board for the Production. We also have Janusz Krystosiak with us, Director of Investor Relations Department that will lead the second part of the conference, during which you will have the opportunity to ask questions. Let me just inform you that our conference is being transmitted online. The questions can also be asked online, and via email ir@kghm.com. And, all the answers are going to be published in the Investors tab on our website. Now, I’m giving the floor to President Zbigniew Bryja.
Zbigniew Bryja: Welcome on another results conference. You know some of us and then in terms of Iga Dorota Lis, President Iga Dorota Lis, well, you will learn about her knowledge and competencies, and I’m sure she will convince you that she’s a perfect fit for the team. And, we will altogether be competent in giving you all the information that, we’ve prepared for the conference. So, we are in the limited numbers here. Since it’s a heated moment for the mining industry, we are here with you two members of the Board to perform their duties outside of the headquarters, and our President of the Board is has fallen ill. I’m sure he’s supporting us. He’s listening to our broadcast right now. All the best to him. That’s it in terms of introduction, just to orient you a bit more. And we appreciate you. We value and respect you. So, we want to present our results from, as best as possible. Right now, we’re in the middle of the Barbórka events. We have first meetings events related to the mining, Miners Day, so called Barbórka. That’s why we are in festive uniforms right now. The next conference takes place in February. Next results conference takes place in February. So, probably you wouldn’t have a chance to see us in such great uniforms. So we respect you. We want to also present to you as best as possible in our festive uniforms. And, we are well, here, we are miners, and we have years of experience in working in the company. That’s it in terms of introduction. Let me move on to the first slide, and then take it over, one after another. So, summation of the first nine months stable increase of production and results. You will see it in the detailed slides. In the first nine months of 2024, KGHM has noticed a marked increase, 3% of production of copper 534,000 tonnes which is a 3% of increased production. And then, the revenues increased by 2% in this period. In terms of macroeconomic environment, on one hand, it was beneficial. On the other, relation to zloty and dollar, distorted that a bit, taking into account the increase of copper prices by 6% U.S. dollar per tonne. And, unfortunately, this is the exact amount, that the percentage that the relations between zloty and dollar worsen. So, that’s why there’s no change in copper price in Polish zloties. In terms of silver prices, we have increases both in terms of dollars that would be 16% and 9% in terms of Polish zloties. Extraction of ore, there is more or less no change, compared to year-on-year. Production of copper in concentrates by KGHM Polska Miedz S.A., increased by 0.3% and in the capital Group by 3%. So, 0.3% and then 3% in terms of Group production, and then production of metallic silver by KGHM Polska Miedz S.A., was minus 10.8%, but there are many factors contributing to that. As you know, silver is a result of the currently exploited or deposits. That’s one thing. Second, we have gone through a major overhaul in one copper smelter that was finished recently. And, we also had the Kaldo furnace being renovated in Głogów in the noble metals smelter. That is why we have had more disruptions, let’s say, but we will perform the, the assumed amounts by the end of the year. In terms of indicators, higher CapEx execution by KGHM Polska Miedz S.A. by 16% year-on-year, plus 2% of increase in revenues in the Group by PLN 261 billion. And then debt indicator, so liquidity indicator measured as net debt to adjusted EBITDA and this is 0.9. And as you know, this is the safe level up to 2% is safe, is considered as safe. So, there is no risk related to that. Here’s some of the data I already mentioned. So, this is the summation of the first nine months divided into Group and KGHM Polska Miedz S.A. So, revenues in the Group rose by 26.139 billion and the KGHM Polska Miedz S.A. PLN 22 billion. Adjusted EBITDA higher both in terms of Group and in terms of KGHM Polska Miedz, and then net profits as you can see PLN 1.3 billion in the Group and PLN 1.2 billion in KGHM Polska Miedz S.A. That’s it in terms of the general information. Now, I would like to ask President Mirosław Laskowski to continue.
Mirosław Laskowski: Ladies and gentlemen, key product indicators for the first nine months of 2024. We talked about the amount of payable copper production in the whole Group is 544,000 tonnes divided into the assets. KGHM Polska Miedz S.A. similar level of production year-on-year. 5% decrease of payable copper production in Sierra Gorda, caused by the lower metal, lower copper contents and lower metal recovery. And KGHM International marked increase on the Robinson mine. The increase of production here in Robinson mine was by 24,000 tonnes of payable copper year-on-year as you can see on the chart. Then the distribution in given metals. We talked about copper a lot. Silver as well. Let me just add that, these stoppages, stopovers on the noble metal department, there were two. And then compared to 2023, we had only one. That is why we had the discrepancies in our production. So, the base for the last year was just high. And, the stopovers also contributed to lower production of gold coming from KGHM S.A. and the higher production of gold by 20%. 20,000 of ounces did not offset these losses that were that were born by the noble metals. Then molybdenum production, I mentioned that. We also mentioned that on the previous conferences. It’s a minus 34 production less in Sierra Gorda mine compared to last year caused by lower concentration of molybdenum and lower capacity in general. Here, you can see the production results of KGHM Polska Miedz S.A. and I wanted to say two words, stable and solid results because it’s quite comparable to last nine months, last year, year-on-year. Let me just remind you that our mines are 60 years old over that and the way they are extracted is well up to the limits. We’re moving away from the mining shaft. So, our goal is to be solid and stable in terms of our production throughout the next years. I also wanted to point your attention to Bar #3 showing the amount of electrolytic copper, of own inputs. This is at the level of [20,284] (ph) tonnes from own concentrates similar to year-on-year to nine months 2023 and in our plans as it was emphasized with President Szydło and again I’m sending my warmest regards to him and he asked me to point your attention to that. Our long-term goal is to keep the production of electrolytic copper in KGHM Polska Miedz S.A. from own concentrate on high level of [20,280] (ph) tonnes, which is 60% to 65% of overall production. Iga, please take over and talk about our International assets.
Iga Dorota Lis: I would like to first and foremost welcome you. I’m the first time on this, such conference as a member of the Board responsible for International assets and foreign assets. And, I would like to share with you information about the production results in terms of Sierra Gorda mine. Let me just remind you that we are a shareholder of 55%. And, the next slide will also talk about KGHM International. In terms of Sierra Gorda, as it was mentioned by the President, we have the lowest production of payable copper production compared to 2023, and this result mainly from extracting copper with lower copper content and lower recovery. And, this is partially compensated by a higher volume of processed ore almost 4%. But that influence is not only copper production but also other metals in Sierra Gorda or from Sierra Gorda. So, we have adequately lower level of production of molybdenum year-on-year as it was mentioned by 35% compared to 2023. And similarly to copper, it was mainly due to extraction from areas with lower metal content and lower recovery compared to ore mined in the prior year. And then in terms of noble metals, we have a 5% decrease year-on-year. And we have one increase, silver production, by 6% year-on-year. Moving on to KGHM International. As you know, our basic asset here is the Robinson mine. And in here, you can point out that compared to nine months 2023, the production of payable copper has markedly increased by 214,000 tonnes and that resulted from higher copper production by the Robinson mine both in terms of, well, in terms of Robinson, we also see copper increase plus 30% plus 57% of recovery and plus 50% of mining extraction compared to the similar period in 2023. Some words of explanation why these differences are significant. Last year, we were in the intermediary area. Right now, we are in West 5, mining area, rich area. And then, this is where we extract majority of our ore. And then there was better concentration of zinc and minerals that are soluble copper that contributes to lower results last year. There were also some equipment emergencies last year. And in terms of the smaller assets or minor assets that we have within KGHM International in Sudbury, so McCreedy mine noted a lower extraction by 20% year-on-year and lower concentration of copper in the ore by 40%. Carlota mine, here everything goes according to plan. Stripping was carried out to start extraction in the Cactus pit. That is why we have lower volumes there both in terms of heap and lower copper concentration in PLS. Silver production, Sudbury, lower silver content in ore and lower volume of ore extraction in general. So, these two factors contributed to the fact 50% less silver content in ore. That’s why we have lower results here. In terms of noble metals, TPMs, McCreedy, minus 20% of extraction. And to finish up on a positive note, we have increased the production of gold in Robinson mine. And as, it was said by the President, because we increased the extraction by 20% of troy ounces. And that was because of our gold concentration higher than of 136%. In terms of 2024 perspectives, as I said, we are right now in the West 5 pit. This is a very rich deposits and we don’t expect any major deviations in terms of payable metals production in 2024. And then we are preparing for 2025 as well when we will start extracting liberty deposits.
Zbigniew Bryja: Next slide, please. Okay. In terms of investment and development initiatives, this is my area. So, let me present some information about that. So, implementation of investment program, this is PLN 2.5 billion and then the expected CapEx execution is, the CapEx target for 2024 is PLN 3.9 billion. We’re trying to use all the assumed funds. We still have some time. So this is, yes, this is for first nine months. Year-on-year, PLN 2.167 billion, right now, the CapEx budget target was PLN 3.2 billion. And then let me comment on the first pie chart here. Out of PLN 2.5 billion, PLN 2 billion are devoted to mining. And it’s difficult to explain sometimes to our interlocutors that mining is quite a specific activity where the mine is evolving all the time, aging all the time. With every day, we are one meter forward and then we need to get rid of the one meter behind us. And then the next scope would be smelters, metallurgy. And then they are of similar age as mines, but they need less investment, because they are well developed. So, we just renovated them, developed them, and that’s it. They are in the same place. Mines require constant investment related to development of the resource base, in connecting the further mine shafts and so on and so forth. So these are not comparable areas. Mining consumes a lot more CapEx than any other area. Second pie chart shows you the distribution by category. And, it’s quite analytical, I would say. Replacement 34%, maintaining mine production 38%, and 26% is development. Not enough, I would say. Well, we need a lot more as a person responsible for development in our Board. Then maintaining is just keeping our production capabilities or recovering these capabilities, allowing us to perform the production plan. So, just keeping afloat. And then development, that’s just 26% out of these three areas. This is the least investment area. We’re trying to devote more. And then, but the first chart speaks for itself. These are old mines, old smelters. And as every facility, it needs higher not only respect but also a higher investments to keep it working. So that’s it in terms of comments of the first slide. Moving on, this is the CapEx execution in key investments. So, I would just like you to focus on the first aspect, deposit aspect access program. This is the light brown area, the PLN 522 million. And this is the program that there was that was based on performing 30 kilometers of corridors excavated. In total, I think that’s 44 kilometers of all the corridors. So these are the areas of future production, not only the shafts that we will, base further, excavation centers in, but we also use it to direct air, water, ice water as well for the evaporation aggregates. So this is the biggest investment because the area of our deposits right now is 500 square kilometers, an enormous area, and it requires such assets, such funding. Then the next one is outfitting of the mines. So that needs to well, that for example, we need to we need to perform all the conveyor belts and pipes and so on. Then, next one is the replacement of the machine park. And for many years, we have the same strategy. We exchange the machine park every five years. So drillers, loaders, and anchors. So the basic, I would say mining equipment, it requires every five years. The financial requirements are high enough to maintain the equipment older than that is just too big. So first, we renovated 251 machines, and we already purchased 167 machines in the first nine months. Then mine dewatering, another thing. And this is the topic that was interested in the media. Also, the citizens of the region were interested because the situation was very difficult in terms of the retention area on the Żelazny Most reservoir. So, we’re doing everything we can to stabilize the situation right now and then improve it in the long run. So, out of 300 million, 320 million, 330 million devoted to that particular area at the beginning of the year, we’re planning to add 113 million more. So, to increase it by a third because, well, not only calming down the situation but also providing a foreseeable, stable situation. So the piping here, the pump chambers, we’re working on the whole grid of pipes, both underground and on the surface, that will allow for dewatering of water of different saline composition so that we are in-line with the legal parameters, environmental constraints, and so on. And we also want to enable the deposition of the post flotation waste on the flotation reservoir. So we are dividing the waters, underground, on the surface, and then other equipment that took the majority of the budget for this investment. And then the next area, hydro technical plants for the IAS. We are right now in broad consultations, the Żelazny Most tailing storage facility. We are right now, increasing the escarpment to 200 dam height to above 195 meters. Everything is going in the best way to be so that we will obtain next year, we will obtain an environmental permit to the height of 205 meters. In terms of major investments and renovations in our processing plants apart from these mills and flotation devices, the big cost here, one of the biggest costs, and this is almost 200 million was the renovation in Głogów I smelter and refinery. Maybe President Laskowski may talk about it a bit more.
Mirosław Laskowski: From two, you surprised me, but I yes. I’m willing to share that. So, the renovation, in Głogów I smelter plant for 70 days plant in mid-August till mid-October did not influence the production of electrolytic copper because the departments of electric worked without interruption because we had spare anodes collected. And then it finished -- the renovation finished on the 20th October this year. And then, of course, we started the flash furnace as planned. As you can see, there are detailed information here, but I just wanted to say about to talk about exploitation. Well today, we have a meeting, evening meeting, due to the successful finishing or commencement of the finishing of the project. Okay. And now exploration. Looking for resources and deposits that are going to be exploited in the future. This is (inaudible). So advanced work is being carried out. PLN77 million is being devoted into that. I talked about [Zolasnoye Mosk] (ph), shafts maintaining shafts, PLN76 million out of it, PLN73 million for SW4 shaft complex. And then the other adaptation project, PLN39 million resulting from the changing law, the EU directives, for example, or state legislation changing both in terms of OHS and matters related to the Głogów smelter, building of the concentrates, warehouse and so on. So, in terms of development, this is very broad scale, but still take a look how little we talk about works in smelters, and we focus on mines more. As I said before, mines require higher funding and maintenance. And this is the slide that I promised you that I won’t show, but I have it here. This is the area about the so called Deep Głogów mine. This area that we focused in the past, we have four, sorry, six excavation areas here. And this area has been ventilated. It has been connected. And in last year, that was the GG-1 shaft. So please take a look at one figure here. The second quarter well the increase of production between Q2 and Q3 2024 plus 2%. But then if you compare it year-on-year, this increase of production is by 16% every square meter of the shaft being created contributes to the increased production. Please remember that and make sure that others hear that because some people say that, well, our needs to build new shafts, well, they are depreciating the needs to build new shafts. No. We need more money for the KGHM to be able to be functioning. So, on this total area of 500 square kilometers 31 shafts were active. Right now, we have 29 shafts well 30, including GG-1. This is an enormous area. Right now, we used to build three more shafts, Retków, Odra, GG-2 and Gaworzyce shaft as well. One of them would be exhaust shaft and the second one, the intake shaft. So, these shafts would be mainly a ventilation ones not extraction ones per se of the ore. Why? Because the extraction installations would take all the diameter of the shafts, so we would be able to transfer less air through it. So, another conclusion, if these will be ventilation shafts, the basic extraction shafts that would be a level of 1,000 meters. So with each shift, towards of the extraction towards Odra, Głębokiego Przemysłowy and Głęboki shaft, every shift would lengthen the transport routes and the installation, the water includes AC routes and so on. So that is why the investment is contributes to PLN2 billion out of PLN2.5 billion of total CapEx investment. So, it’s a cause and results connection. These are not distant and neutral, to us. It is all interconnected. So please note that how important building this new shafts is for us. If we will have new shafts, KGHM will continue its operation. If we don’t, we will lower the production. We will not provide enough of the resource. This is basic for us and we will we are focusing on that.
Janusz Krystosiak: Okay. Thank you very much. Next speaker takes the floor. Me again. So, several information about financial results of the entire group, KGHM Group. The revenue after nine months of 2024 the level of PLN26,139 million, 2% more than in the previous year. And this increase is about KGHM International EBITDA, correct adjusted EBITDA at the level of PLN6,186 million, 44% more than in the same period last year and the increase of EBITDA by PLN1,900 million it’s about KGHM International, PLN1,594 million. And also in Poland, Polish, it’s PLN240 million. Another slide showing our revenues. This 2% increase we reached, thanks to in higher volume that we sold by PLN414 million, especially in KGHM International, but also thanks to the price of silver, copper and gold. And here our revenue increased by PLN1,500 million, unfortunately, we didn’t have good currency of Polish zloties to dollar. It was 3.96% last year and now it’s 4.23%. That’s why we had such decrease of PLN1.5 billion. We had also positive results in the revenues due to derivatives. It’s increased by PLN36 million. And now costs, different costs, expenses by nature for nine months 2024. In the entire group, it was at the level of PLN24,492 million 3% less than in the same period last year after deducting or excluding impairments, purchased metal bearings, meters and minerals, this increase was even higher because it’s 5% decrease. And the biggest results, we are associated with the use of technological material, fuels, energy factors and purchased metal bearing materials, and we have it both for KGHM International and KGHM Poland. And Iga, you can now continue with C1 unit cost.
Iga Dorota Lis: In terms of C1 unit cost, which is key for you from the point of view of location of KGHM on the market, I can start from the capital group. In terms of capital group, the C1 unit cost for nine months of 2024 was $2.75 of American dollars and it’s lower than the cost of the previous year. It’s lower by 6%. And as you can see in the second part of the slide, well it was affected by the cost of C1 in KGHM International. We have -- you see here a decrease that is significant in terms of Sierra Gorda and KGHM Polska Miedź S.A. This cost was realized at the higher level than in the previous year. So, we see here increase. Starting from KGHM S.A, the increase in C1 for nine months in 2024 was 3.00 and was higher than by 2% than in the previous year. Please note this white part because this is the cost of the minerals extraction tax increases year-on-year. Today, it increased up to 35% of the entire unit cost. And actually it shows how important it is for us in KGHM Polska Miedź S.A. In terms of KGHM International, so a key aspect here has Robinson Mine. It’s a very important asset. And for first nine months in 2024, it was $1.69 per ounce of sold copper, which means 68% lower than in the same period last year. This decrease is directly associated with improved Robinson Mine situation. We are in the west five and we have increase of volume. So well, it affects in lowering the cost of C1. But in terms of Sierra Gorda, C1 cost was 1.81. You can see that this has increased by 17% due to the fact that we had lower volume and as I said, despite offset with the amount. Well the volume was lower and we sold lower. It’s not only about copper but also about molybdenum. But what is also important here is that in Sierra Gorda was the increase of costs such as energy, PULs and spare parts.
Janusz Krystosiak: Thank you. I would like to thank members of the Board for presenting their results. And now let’s move on to the part of Q&A. So now you’re welcome to ask questions. There are no questions from the room, I will ask the first question that appeared on our email. I will translate. Bank of America asked KGHM International, how much space we have to improved operations, has it already been achieved or not?
Iga Dorota Lis: Yes, we see optimization -- a possibility of optimization of operation in terms of KGHM International. But we also divide Sierra Gorda and KGHM International. And I would like here indicate that we need to optimize operations and costs in Sierra Gorda, first of all. The Robinson results as the main assets are okay as per today, but we still see some possibilities. Mainly when we talk about Robinson, I would like to say that the mine is one aspect. Another aspect is the enrichment of the ore. And here we will focus on optimizing our operation and lowering the costs. But I think that more optimization will be provided in Sierra Gorda.
Janusz Krystosiak: Okay. Thank you. If I can ask more, so, maybe more about International assets. Pawel Puchalski from Santander asks if in 2025 CapEx will be in international as high as in the current year or maybe it’s exceptionally high in 2024.
Iga Dorota Lis: I would like to say that it’s difficult to now evaluate for 2025. I’m not going to answer this question right now. Today, we are preparing the budget for 2025. In the next days, I will receive the block model, and only then we will be able to answer such questions. Thank you.
Janusz Krystosiak: Pawel Puchalski asks about Victoria project. Can you comment on that?
Unidentified Company Representative: Yes. We are analyzing this project. I would like this year to return to you with the conclusion of the analysis of the Victoria project. Today, Victoria project is at the level of 600 meters, and we’re still working on that. And I think you will get details at the next conference. First, we need some internal discussion.
Janusz Krystosiak: Okay. Any questions from the room? [indiscernible] Victoria Project. Where is it located?
Unidentified Company Representative: Canada. Oh, in Ontario.
Janusz Krystosiak: Thank you. Reuters asked a question. How do you provide the macroeconomic situation in the Q4? How do you assess this situation with the American dollar and how will it affect the results?
Unidentified Company Representative: We are not doing any forecast. We don’t forecast results or the financial results. We are in the half, in the mid of the Q4, and we see the situation on the market. We know what’s going on and how it will affect our results. Well, we will discuss it in a second. And we don’t want to forecast. Yes, actually, I agree with you. We are not an investment bank. We don’t analyze it. We adjust to the present indicators that are on the market, and we are trying to react and to optimize our production and sales to have as best results as possible.
Operator: Please introduce yourself and ask the question, and please turn on the microphone.
Unidentified Analyst: [Krzysztof Kolanko, Mankei Paol] (ph). With reference to the last questions, how do you secure the currency and the ratio of Polish zloties to dollars to American dollar?
Unidentified Company Representative: We won’t disclose, it. We don’t want to disclose our policy with this regard. Yes. I would like to agree with you. We don’t provide such detailed data. We can only confirm that, yes, we secure ourselves, and we look after the KGHM Group security. Of course, we have adopted some measures to do so, but we are very flexible. And due to many reasons, we are not going to disclose our policy.
Unidentified Analyst: I have a question if have you established the increase of remuneration for the next year?
Unidentified Company Representative: Yes. According to the collective agreement, we will do it at the beginning of the year. So right now, we cannot give you any information. We referred to the average indicator from the sector. We are still waiting for such data from Q4. Yes, the Board has adopted the resolution to give premiums for the Q3, and it’s in accordance with the resolution of the collective agreement. It is 2% for Q3 which means that it is about 7% of the monthly remuneration. Of course, we are talking still about 2024, not 2025. I’m reviewing our inboxes. I’m checking if there are any more questions. Morgan Stanley, we’d already talked about it, about factors shaping the cost of the cash of the money. So Mr. President has already commented on C1 cost, C1 unit cost. So, maybe we can wait for more questions that will appear. I don’t see any questions. I would like to remind you that all the answers to the questions that have been asked will be available at KGHM Polska Miedz S.A. as website in the tab Investors. I would like to complement or I would like to add that the continuation of our dialogue will be conducted in the following years. We will have the days of investors. We will have investors chat that will be available. Mr. President Krzyżewski, CFO, asked me to tell you about it. We will organize some meeting, online meeting dedicated to all of you. We will provide more analytical perspective, so it will happen in the following days. And we will try to answer your questions in the following days because maybe today we were not able to give you all the details. And we also promise you to give you the space to deepen the knowledge about the results that we’ve presented today. As far as I remember, the Day of Investor is also connected with the visiting in the our departments on our sites. Yes. So, yes, we want to offer something new. So, we are still waiting for this event, the Day of Investor.
Unidentified Analyst: I would like to ask, from about the yesterday scandal in Collegium Humanum, do you, in your company, conduct any activities to detect the problem.
Unidentified Company Representative: No. Thank you for the question. Today, we will only answer the question about financial results. Please send this question to our inbox.
Janusz Krystosiak: Are there any other questions? If not, thank you for participation in the conference. Members of the Board, thank you. As well, thank you for presenting the results and hopefully see you next time.